Ryuichi Isaka: Good evening, ladies and gentlemen. My name is Isaka, CEO of Seven & i Holdings. I would like to extend my sincere appreciation for your continued understanding and support of our group. And thank you very much for your participation despite these late hours. In some media, in the Board of Directors meeting of the company this year, it was covered that the decision has been made to sell some Ito-Yokado shares. However, there are no such facts. 
 I would first like to clear this point -- clarify this point. I would like to talk about today's executive summary. For the full year of fiscal 2023, we achieved a record high operating income. Although changes in the consumption environment in Japan and the U.S. have intensified since the latter half of fiscal year 2023, in fiscal year 2024, we will further accelerate our response to these changes, which we have been implementing to date and we would like to achieve new record highs in both operating income and net income. 
 I would also like to explain the implementation of our action plan to maximize the group's corporate and shareholder value over the medium and long term. This is today's agenda. Mr.  Maruyama, CFO, will explain the business results for fiscal year 2023 and the forecast for fiscal year 2024, followed by the management policy for the Domestic Convenience Store business from Mr. Nagamatsu. 
 The management policy for the Overseas Convenience Store business from CEO DePinto, the progress and results of the drastic reform program for the SSD business from CFO Maruyama, and finally, the group strategy from myself. Then Mr.  Maruyama please explain the business results for fiscal year '23 and the forecast for fiscal year 2024. 
Yoshimichi Maruyama: Good evening. I am Maruyama. First of all, I would like to explain the business results of 2023. My throat condition is not very good, but I would like to ask for your kind cooperation. Please see Page 5. These are the highlights of consolidated financial results for the full year fiscal 2023. Operating revenues were JPY 11,471.7 billion, 97.1% of the previous year's level, up JPY 330.7 billion from the plan at the beginning of the fiscal year. 
 Operating income was JPY 534.2 billion, 105.5 year-on-year and up JPY 21.2 billion from the initial fiscal year plan, operating income reached a record high. Net income attributable to shareholders of the parent company was JPY 224.6 billion or 79.9% year-on-year and 78.8% of the plan at the beginning of the period mainly due to the extraordinary loss resulting from the transfer of Sogo & Seibu shares. 
 Net income on actual basis adjusted for the impact of the transfer of Sogo & Seibu and Barneys Japan shares was JPY 288.3 billion and 102.6% of the previous year's level and 101.2% of the plan at the beginning of the fiscal year. Please understand that this is the highest profit level ever and that we are steadily improving our earning power. The impact of the yen's depreciation on operating income was JPY 19.2 billion. 
 Please see Page 6. This slide shows operating revenues, operating income and EBITDA by segment compared to the prior year. Revenues from operations were also down on a consolidated basis due to lower revenues in the Overseas Convenience Store operations as a result of the coming of retail gasoline prices in the U.S., which were at historical -- which were at historically high levels in fiscal year 2022. Operating income was significantly affected by the historically high gasoline CPC in 2022 in our Overseas Convenience Store operations. However, we secured an increase in income due to gross profit growth from products, reduced SG&A expenses from our cost leadership initiatives and the impact of foreign exchange rates. 
 In addition, each segment of the Domestic business, especially the Domestic Convenience Store business, secured profit growth driving overall growth. In addition, [elimination] and corporate income decreased from the previous year, mainly due to an increase in depreciation expenses resulting from increased investments related to the group's common infrastructure. EBITDA increased JPY 59.6 billion on a consolidated basis, driven by domestic and overseas convenience store operations. 
 Please turn to Page 7. This page shows the comparison with the beginning of year plan by segment. Operating income and EBITDA exceeded the beginning of year plan in all segments except for the Superstore business. Page 8 shows the 2023 consolidated financial KPIs actuals. As for quantitative indicators, EBITDA exceeded the plan at the beginning of the period due to the increased cash generation capability of the domestic and overseas convenience store operations. On the other hand, operating cash flow and free cash flow fell short of the plan at the beginning of the period. We have confirmed that this does not mean that operating cash flow in the core business decreased but that the main reason was due to temporary increase or decrease in accretive expenses in accounts receivables and a decrease in deposits received at the end of the period. 
 I would like to state clearly that the ability to generate operating cash flow in the core business has been steadily increasing. ROE and ROIC, the qualitative indicators were slightly below the plan at the beginning of the period even after adjusting for the impact of the share transfer of Sogo & Seibu and Barneys Japan. 
 ROE and ROIC were due to SEI's lower-than-expected net income in dollar terms as well as an increase in extraordinary losses due to accelerated store-related measures in the SSD business transformation. Debt EBITDA, a financial soundness indicator was in line with the plan at the beginning of the period due to the planned repayment of debt.
 Next, I would like to talk about the 2024 forecast. Please turn to Page 10. Page 10 shows consolidated earnings forecast for fiscal year 2024. We have positioned fiscal year 2024 as a pivotal year toward achieving the goals of the midterm management plan for fiscal year 2025. Revenues for operations JPY 11.246 trillion, 98% year-on-year. Operating income, JPY 545 billion, 102% year-on-year. Net income will be JPY 293 billion, 130.4% year-on-year. 
 Revenues from operation and net income are expected to be the highest ever despite the decrease in revenues from operations. EPS and EBITDA are also expected to exceed those of the previous year. Foreign exchange effects are expected to have a positive impact of JPY 9.2 billion out of the JPY 10.7 billion difference in operating income from the previous year. 
 Page 11 is by segment. In 2024, Japan Convenience Store business expects an increase in sales and profit taking measures to improve the number of customers. In the Overseas Convenience Store business, due to the fuel retail price decline, we expect a decrease in revenue but expect to increase the operating income by improving the profitability by enhancing the proprietary products through SEI and initiatives for cost leadership. 
 In Superstore business, our revenues from operations will decline, but operating income will increase through solid implementation of fundamental transformation measures in the Metropolitan SSD business. These initiatives will be explained in more detail later. 
 Page 12 is FY '24 consolidated financial forecast, first half, second half breakdown. From the second half of fiscal '23, the impact of the economic environmental change on the consumption sentiment is seen in Japan and the U.S. In fiscal '24, especially in the first half, we think this impact will remain to a certain extent. Under such circumstances, revenues from operations is expected to decline due to the drop in fuel retail price, but operating income will be secured on a full year basis through solid implementation of our business strategies. And therefore, on a consolidated basis, the first half operating income will decline, but will turn positive by carrying out measures that will bear results going forward and will increase our operating income on a year-on-year basis for the full year. 
 Page 13 shows the forecast by segment in first half and second half '24. Convenience Store business in Japan and overseas will lead the recovery of the performance. The concrete measures will be explained by the head of business later on. Page 14 is the consolidated financial KPI. Quantitative index EBITDA is expected to grow solidly. By the end of fiscal '24, we will achieve JPY 1.1 trillion, which is the medium-term target -- medium-term plan target. 
 Next, ROE, ROIC, which are the qualitative index. We think low capital efficiency is a problem as we aim to become the global retail group. And therefore, in fiscal '24, we will dispose the low capital efficiency asset and increase front load, the higher capital efficiency asset to achieve the fiscal '25 target. But 2025 is not the goal. Our most important goal is to improve our management efficiency in the medium to long term, so we will pursue a more capital-efficient management going forward. 
 And next debt-EBITDA multiple, as cash-generating capability of the group is increasing, we are repaying debt steadily and debt-to-EBITDA multiple will decline in FY '24. Under such circumstances, based on the recommendation by the Strategy Committee, which we will talk about later, we updated the debt-to-EBITDA multiple target looking beyond 2025 to improve the group's medium- to long-term corporate value and shareholder value and to promote group-wide growth strategy.
 Based on the flexible and agile financial discipline, in order to promote growth strategy through strategic investment, including new M&A in the CVS business, we set debt EBITDA multiple at 1.8 to 2.5x range for FY '25 regarding the balance between financial soundness and growth investment debt capacity from optimal capital structure point of view to maximize the corporate and shareholder value.
 Of course, this is based on the underlying premise to maintain the A rating. So we will consider the investment to grow the Japan and Global Convenience Store qualitatively based on this financial discipline so that we can maximize the corporate and shareholder value.
 Next, Page 15, shareholder return. From the shareholder return policy based on the based on the payout ratio, we changed our policy where we improved the dividend per share stably and continuously and aim for total payout ratio of over 50%. Based on this policy, we have invested in growth and repaid debt within capital allocation. And did a share buyback. 
 To clarify the intent of basically not cutting dividend, we introduced progressive dividend where we increased dividend along with sustainable profit growth from stability and sustainability point of view. Our share buyback is maximum JPY 110 billion up to end of May. And let me add that we plan to conduct another JPY 100 billion buyback by FY 2025. 
 Dividend forecast for FY '24 is JPY 20 interim dividend, JPY 20 year-end dividend, full year JPY 40. On March 1, we did a 341 stock split. So the dividend is equivalent to JPY 120 in pre-split basis, up by JPY 7. That concludes our '23 results and 2024 forecast. Thank you very much. Mr. Nagamatsu, Seven-Eleven Japan President, will explain. 
Fumihiko Nagamatsu: Good evening to you all. I am Nagamatsu of Seven-Eleven Japan. I would like to talk about the management policy of Seven-Eleven Japan. First of all, about the current situation, I think this is something that you are already aware of. The domestic wages for 22 months consecutively has -- is a negative. Inflation, although there is inflation, wages are not going up and going to the upper right due to COVID, telework or work from home has become popular. However, even after the COVID has become classified into Class 5, the telework ratio has remained pretty high. And also the decline in population and the low birth rate and aging is progressing.
 Ever since the Japanese population has peaked out, it has continued to decline. And in addition, the composition of the population over 65 is more than 30% to 35% and is increasing year by year. And going down to the bottom right. Based on this situation, the customers' consumption trend has been changing. They are becoming more cost conscious. That is the situation that we have been seeing from last year. 
 And given this environment, as for Seven-Eleven Japan, how should we grow? We have a policy, one, that we would like to further improve and polish our products. The strength of Seven-Eleven has been the taste and quality of our products, and we would like to further pursue them. In addition, new products and service will be expanded in order to promote more traffic to our stores. And secondly, the employees' productivity is to be improved, Seven-Eleven Japan and both franchises. The employees who are working their [setting] increase their -- improve their productivity. And in addition, we would like to provide a new shopping experience to customers by DX. So these are the pillars of our business. 
 The concrete policies include to expand our customer base. Those who are not visiting us, we would like to also capture those who are not visiting us today. So in order for that, we would like to expand products and services to meet the demands or potential demands of the market and provide products that will exceed the expectations of consumers. And as we expand our customer base or customer types, we would also like to improve the -- or increase the frequency of customers' traffic, have customers become our repeat customers and fixed customers. And in order for that we will develop new products and provide them with new shopping experience. 
 The marketing products promotion and the floor space, all these will contribute to the customers' experience by franchisees as well as our direct stores. And by utilizing DX, we would like to also provide support to franchisees for their operations. We have been continuing to do so. The equipment in order to save labor force so that the people will have to work short hours to do the same thing. An AI order, we would like to improve accuracy of AI order. We have been continuing with [indiscernible]. But in addition to that, AI [indiscernible] is also something that we would like to conduct. And 7NOW, we would like to expand -- we have been able to expand 7NOW to 12,000 stores, and we would like to further increase the adoption of 7NOW. 
 Through these countermeasures that we are taking, we would like to acquire new customers and increase frequency of their visits, and also increase productivity of workers in order to increase our sales. As for same-store sales, we are aiming at increase of 2.5% and gross margin plus 0.2%. And operating income, JPY 260 billion is what we would like to achieve.
 We'll expand customer base. We would like to have new customers come. And as for one measure, we are thinking of frozen food. As the society changes, it's not that people who buy frozen food just to store it at home or as bento, but this would be something that will meet the needs of customers who also want to have a very tasty food as well through a frozen food. So Seven-Eleven frozen food over the past 15 years have increased by 20 folds or 1.7x -- the market has grown 1.7x, but Seven-Eleven has grown 20x. We have been increasing the space of our floor. Our frozen foods space, as you can see on the left-hand side, we have two frozen food sales floor, two sets of these chillers in the frozen food sales floor. However, some stores are not able to have the space to have two. So for those stores, as you can see, we will have gondolas be replaced with the frozen fixtures. So that we will be able to increase the [ freeze ] area by approximately 3x. And not only the cell space, but products are important. The group's product development power will be utilized so that we can provide very tasty food, although it is frozen and EZAP is our development brand. And EZAP will also be introduced into Seven-Eleven. This is selling very well. The Meat Udon that you can see on the far left is selling very well. So it's not only to store at home, but these are very tasty foods that people will enjoy eating. And these are the types of product assortment that we would like to have. 
 And other than these products, new frozen food that Seven-Eleven have not been able to introduce in the past, for example, bread, bakeries or desserts or delicatessen, high-value-added food. We would like to also have these new frozen food assortments and also national brand products that are selling well as well.
 We would like to expand our sales floor. But for smaller stores, we will use different devices. And we would like to have three in-store -- 3,000 island frozen utensils for 3,000 stores. And for that, we would like to invest JPY 10 billion or more. 
 And next, our initiatives in expanding customer base. We will introduce products that we have not been introducing in the past, the fresh baked bread. We -- this is selling very well, and gross margin is also very high. And at stores only in several minutes, the breads will be baked, and we will have these fixtures for that and on the left-hand side, you will see the product assortments that we are going to provide. And this year, we will have 3,000 such utensils to allow these fresh bakeries. And we assume that the stores who install those new fixtures will increase sales by 1%. 
 And we also would like to introduce smoothie to all stores where we can. So this very healthy food smoothie and healthy drinks, beverage, this -- we're seeing a trend of higher visit to stores. So we want to meet customers' needs and sugar-free and additives-free. These truly healthy, healthy food will be offered so that we can meet the needs of what the customers really want. So 18,000 stores, we will install this to all stores we can install and increase our EPS by 1%. 
 Until now, we were trying to encourage new customers visit, but next to increase repeaters to increase the visit of the existing customers, one way to do that is the regional fair. We started this last year. Last year, we did the regional characteristics and social contribution. We focused on these two points. So local production, local consumption, sell and consume what we produce locally. The local government or the local municipalities liked to this very much, and they willingly collaborated with us in sales promotion. 
 So this is a regional contribution. We realized through this regional fare. But now, the further the region, the country side they are, the more difficult their economy is. So this affordability is also another point we want to pursue reasonable price. This is Butadon, pork, meat, Donburi, in Saitama prefecture, this pork with miso flavored pork is extremely popular. And this is a big volume Donburi meat on rice. So we are trying to expand these products. In addition to high quality, we are adding another element, reasonable price. 
 Next, please. DX. This graph shows setting 2020 is 100. This is the 9 hour per day we have reduced 94% in 2023. Personnel cost is up. It's 105%, but minimum hourly wage is 111%, so if we did not reduce man hour, personnel costs would have exceeded 110%. Through various measures man hour was reduced, and we're able to suppress the increase in personnel cost. One example -- one small example is the cash register, a 90-minute reduction a day through this cash register -- manless cash register. And the AI-based ordering 32 minutes a day, so these are some of the efforts we are making to increase -- to reduce the man hour, not just productivity, but to increase our sales. We are conducting AI-based ordering for nondaily. And in the stores that have introduced this, the annual sales is growing more than the ones that have not introduced this. So we will promote this further. And for daily products commissaries, we will continue doing this. Lower right. In the order system, we offer various tag information, what is on S&S and what is trendy. So by using these information, more hypothesis can be generated. 
 Next is 7NOW. We are up to 12,000 stores and sales is growing steadily. 7NOW app has a rating of 4.5. The food and beverage app, we are #1 as of February 29. And this app can tell the store inventory. The customers, users can use this app to see which products are available in which store. So this will prevent a case where the product that is ordered will not come. 
 On this scale, there are no other companies as far as I know, that is doing this on this scale. Jo DePinto san is here with us today from the U.S., we are collaborating with the U.S. to research and promote this system. Seven app enhancement and the store, the packaging and other things will become very important. Customers cannot select the product. So the store needs to pick up the products for the customers, which means we need to ensure the freshness and in FF fresh food, it has to be freshly made. And the warm products and cold products, chilled products need to be separated. This operation needs to be well established. Otherwise, customers will not repeat their order. 
 Thirdly, delivery is important. Delivery. The most important part of delivery is delivery, so we need to have redundant drivers so that we can prevent failure of delivery. And if it's nearby, [ Source Task ] can deliver in some cases. In FY '25, we want to increase the usage towards 2025. In my last page, on February 29, we opened SIP store. As I said earlier, we are now facing population decline and aging society with lower birth rates. So one-stop shop needs is increasing. The further countryside we go, the more difficult people can shop. So one-stop shop, shopping in one goal is bigger needs. So we're trying to collaborate across the group to open the store in Matsudo, in Chiba Prefecture. The floor space is 1.8x and the floor sales is 1.5x, number of items, 1.7x. We have big product assortment. And the sales is enormous. 
 As you see on the right side, the noodles and Tofu and [indiscernible] and the fresh produce 3.5x and hot food, this is like the bread that I mentioned earlier and frier -- fried food, that's 3x and frozen food, 1.9x. We are not planning to increase the SIP store to 1,000 or 2,000. We have 21,000 franchise stores. So how we can deploy this horizontally to the existing stores. That's our focus. So this store is in the residential area where the aging is partially progressing. We want to open in a different location, test SIP store in a different location next time. 
 And Ito-Yokado, our group company, and we are working together and in areas where they don't have Ito-Yokado, how can we realize the store. We are going to develop the infrastructure to make it possible. So through these efforts, JPY 260 billion operating income will be realized this year. Thank you very much that is all from me. 
Joseph DePinto: Thank you for joining us. My name is Joe DePinto, and I'm the CEO of 7-Eleven, Inc. I'd like to start today by talking briefly about the U.S. economy and the U.S. consumer. The persistent challenge in the United States today is inflation. Prices have risen over 20% since the year 2020 and they've remained elevated, significantly impacting the cost of items like fuel, rent, groceries and utilities. To control the inflation, the United States Federal Reserve is expected to keep rates higher for longer even as employment is forecasted to inch higher. Now amid these economic headwinds and tight monetary policy, the U.S. GDP is expected to slow in 2024. 
 Next page. In 2023, inflation and rising living costs hampered consumers. With the pullback of U.S. COVID benefits, each participant has approximately $900 less to spend per month. In addition, households are spending an additional $780 per month due to rising costs from inflation. Excessive savings from COVID stimulus have fallen 77% since their 2021 peak. And the low-income households have been hit the hardest with nearly 4 and 5 low-income households in the United States having difficulty paying their expenses.
 As these economic headwinds continue, consumers are adapting their behavior quickly. And they are focused more and more every day on value for every dollar that they spend. 
 Next slide. 7-Eleven, Inc. has operated in a difficult and challenging economic environments before. And we have been resilient. We have consistently grown our business through the economic challenges like the dot-com bubble, the Lehman shock leading to the great recession and COVID. In 2024, 7-Eleven, Inc. is focused on three main areas to drive our growth. First is to continue growing our proprietary products, mainly our fresh foods, our proprietary beverages and our private brands.
 Next is to continue to expand our digital offerings and our 7NOW delivery capabilities. And third, is to appropriately manage all costs across our business. In 2024, we plan to achieve a 26% proprietary product sales mix. While growing the 7NOW Delivery business to $725 million in sales and achieving a $350 million reduction in cost through our cost leadership committee. Our key financial targets for 2024 are to increase our same-store sales by 0.5%, maintain our merchandise margin and achieve operating income of $2.930 billion. 
 Now this slide highlights SEI's 2024 forecast with a breakdown of both the first half and the second half. Given my earlier comments regarding the macroeconomic environment, we expect to see a challenging start to 2024. However, we have aggressive plans in place, and we will accelerate our investments, expanding our food and beverage modernization platforms in our stores, refreshing our stores exteriors and interiors and enhancing overall operational execution. As you can see on this slide, 2024 revenues are expected to decline 3.1%. But please note this, it is due, in fact, because of the decrease in the retail price of a gallon of gasoline. This does not affect gasoline margin or gasoline gross profit. 
 SEI is also forecasting to grow total merchandise sales, 1.8% or $490 million year-over-year. Overall, we expect to grow our operating income by $113 million or 4% year-over-year. To get there, we are targeting a 26% proprietary product mix in 2024. Again, this mix includes our fresh foods, our proprietary beverages and our private brands. And we'll do this through accelerated fresh food development and private brand expansion. Our proprietary product mix will grow through innovation and through the investments that we are making to modernize our food and beverage offerings in our stores and to focus on execution throughout our system. All are designed to improve the customer experience, drive store traffic and increase our proprietary and high-margin product sales. 
 So let's review those programs. SEI's food and beverage modernization program, which includes our Bacon store platform, grab-and-go hot cases, where the consumer can quickly grab a product, pay and leave. Our self-serve roller grills where they can serve themselves and through our specialty hot beverages, we'll offer a wider assortment of hot food and specialty coffees. Stores with these new platforms have significantly outperformed stores without them. And we plan to further roll out of this platform, this modernization program of food and beverage to an additional 2,500 stores in 2024. They are currently in about 5,000 stores. 
 In 2023, we worked in the Louisville, Kentucky market. The goal was to improve overall operational execution, to refresh our stores there, the exterior as well as some interior and to complete merchandise resets in those stores, introducing new and local products. Since launching that in April of 2023. This effort has boosted merchandise sales and customer traffic, resulting in a 17% increase in fresh foods and a 9% rise in proprietary beverages in the Louisville, Kentucky market. We plan to scale the Louisville, Kentucky learnings across 4,000 stores in the remainder of 2024. 
 In 2023, we did see improving results in Fresh Food and Proprietary Beverages. But our plan now is to accelerate, and we're creating signature products and leveraging offers targeting a 17.5% increase in Fresh Food sales and a 7.7% increase in the Proprietary beverages versus prior year. And we're bolstering our private brand lineup. It will complement these other proprietary products. 7-Eleven, Inc's, 7Select private brands are high-quality unique products, offering the customer significant value in a time when the customer so much needs it and provides our stores great margins versus the national brands. 
 We are on track to introduce 215 additional new private brand items this year. And I have to tell you, I'm extremely impressed with the pipeline of products and the private brand team and the work that they're doing. Now partnering with Warabeya has been an outstanding process. We are improving quality in our products. In particular, we're improving quality in our signature slider line as well as in our developing entree line. These are new items, entrees in convenience stores in the United States. And we have some great items, one I'll recognize and call out that the favorite of mine is the chicken curry rice bowl. 
 The collaboration with Warabeya continues to progress well. It has helped us boost our fresh food sales and the markets where Warabeya has a presence. And we saw double-digit growth in 2023 and in both Texas and Virginia, Warabeya commissaries. In 2024, we are aiming for 22% growth in our Texas Warabeya Commissary and 35% growth in the Virginia Warabeya Commissary for products that are developed for our stores. The 7-Eleven, Inc. team is excited about these products. They are innovative, high quality, and they are gaining traction with our customer and will continue to grow. 
 The second strategic focus area is to accelerate our digital platform and our 7NOW delivery program. As I said, today, more than ever, customers are seeking value, and they are leveraging all tools to do it, particularly they're leveraging loyalty programs to find it. 7-Eleven, Inc. has an industry-leading loyalty program, 7Rewards. We have over 95 million members, 1 in 4 Americans is on our rewards program. And we aim to expand this base and enhance consumer value in 2024. 
 Additionally, in 2023, we saw strong delivery performance with delivery sales contributing $250 average per store day and adding 16 additional transactions in each one of those stores. The 7NOW Delivery business grew 25% on a same-store basis in 2023. The important point here about our 7NOW Delivery business. We are the leaders in the convenience sector in the United States. Delivery is not going away. We are expanding this business, and we have an industry-leading delivery time of 28 minutes, and we are located within 2 miles of 50% of the U.S. population. So we're going to continue this momentum. 
 In 2024, we'll increase 7NOW by adding more stores to the delivery network, and we're going to increase food sales on that platform as well as expand our Gold Pass membership. This is going to grow 7NOW Delivery sales to $725 million in 2024, and it will continue to grow beyond. In 2023, our Speedway integration synergies exceeded our target by $177 million. Our target was $800 million. We have now achieved $977 million. 
 The four major Speedway integration synergies included growing merchandise sales and margin, leveraging scale and providing cost leadership, expanding our fuel logistics and growing our digital platforms. Now recall, Speedway nearly doubled the size of our company. There are huge scale opportunities. Moving into 2024, we believe that the digital and IT rollout of RIS, our Retail Information System 2.0 and our dispenser experience which is part of our four core fuel dispensers are the keys to unlocking the next major tranche of Speedway acquisition synergies. 
 We have been rolling out RIS 2.0 and Dex across 7-Eleven branded stores. We're currently in 6,300 of those 7-Eleven branded stores. And we have now begun to scale the rollout to Speedway branded stores. This platform, this IT system will improve and help enable item by item management in 7-Eleven stores and begin to enable it in Speedway branded stores, allowing each store to tailor their specific assortment to that particular customer who shops that store. This is brand new for Speedway and it is the next unlock to major synergy tranches from that transaction.
 Our final focus area is cost leadership. We have the scale. To achieve our cost savings, we developed a disciplined approach to review and manage costs through what we call our cost leadership committee. It identifies cost improvement opportunities, and we track progress to each one of those goals. Several members of our senior team sit on that cost leadership committee. In 2023, our focus was on optimizing spend through vendor negotiations, leveraging our scale, improving our processes, optimizing labor and realizing OSG&A reductions. This process has helped us realize $308 million in cost reduction and cost avoidance in 2023, and we are now targeting an additional $350 million in cost reductions in 2024. 
 So in closing, I want to say this, we are in a tough macro environment, but SEI is doing the things to deliver on our customer expectations. And we're doing all we can to improve our overall cost base, our productivity and our efficiency to help improve our profitability going forward. I want to thank you for your time today, and it's great to be here in Tokyo, particularly to see the cherry blossoms. Thank you. 
Unknown Executive: Then I would like to talk about the superstore business. I will explain the progress of the fundamental reform measures for the metropolitan SST business that I explained in the second quarter and as well as the main progress of these measures. Please turn to Page 40. This is the fiscal year 2023 actual EBITDA for the SSD business and the fiscal year 2024 plan. In fiscal year 2023, both the metropolitan SSD business and the SSD business, including York-Benimaru, achieved the plan at the beginning of the period. 
 Fiscal year 2024 will be difficult year for the metropolitan SSD business to achieve more than JPY 55 billion in fiscal year 2025. In order to achieve the target and towards achieving the target, the Metropolitan SSD business will achieve JPY 28.2 billion, 150.8% year-on-year and SSD business is planned to be JPY 56.6 billion or 113.4% of the previous year. 
 Please see Page 41. These are the main measures and the results of the fundamental transformation program for the Metropolitan SSD project. We will complete the measures during fiscal year 2024 and fully reap the benefits of those efforts in fiscal year 2025. 
 And now I would like to explain the progress of the program as of the end of 7 months from last September. Number one, regarding the complete withdrawal from the voluntary apparel business, the remodeling of introducing tenants and the development of food and drug stores aiming to improve the shopping experience were completed at 47% of the planned number of stores. And the number of stores was -- and the progress rate of both these initiatives is high. 
 And in order to establish a 93-store network in fiscal 2025, we have made the decision to close or externally take over 33 stores as planned. In addition, we are proceeding with the optimization of organizational size in line with our withdrawal from the independent apparel business and the optimization of business areas through a reduction in the number of stores. The reorganization of indirect departments through optimization of personnel was implemented in March, and steady progress is being made toward improving management efficiency. 
 As for #3 regarding the integration and reorganization of metropolitan area business, the Merchandise Department function of head office was integrated through the merger of Ito-Yokado and NYO. In addition, the introduction of full self-checkout as the store productivity improvement measure has progressed by 68%. 
 Regarding the development of strategic investment infrastructure, the utilization of the process center has resulted in an 11% improvement on our per capital sales in the meat department. In addition, the Peace Deli Chiba Kitchen went into operation in February of this year. the infrastructure is extremely important to increase the sales mix of delicatessen. So far, I have talked about some examples of the major measures that we have implemented and we have confirmed that we are also seeing the effects of these measures and plans. 
 Please turn to Page 42. This is the roadmap we presented at the Q2 results meeting. The number of stores handling independent apparel is progressing as planned. The number of Ito-Yokado stores is progressing at a pace faster than planned to focus on the Tokyo Metropolitan area, and the plan is to have a 93-store network by the end of fiscal year 2024, so that we can have a 93-network from the beginning of fiscal year 2025. 
 As for the reduction rate of SG&A expenses, we had planned for an increase in '23, but through more aggressive reduction measures, we achieved a 1.4% reduction. And as for the target of 2025, we have raised the target. We intend to balance the labor distribution ratio with labor costs, not with the objective of reducing labor cost, but with the primary focus of increasing productivity and gross operating income. And we have confirmed that the delicatessen sales composition ratio and store productivity indicators are also progressing as planned. 
 Please turn to Page 43. This, again, is the -- what I have explained at the second quarter briefing, the effect of each element toward achieving EBITDA of JPY 55 billion or more. The red color indicates that the effects of the reform measures implemented thus far have already been realized and those that can be just to have a high probability of being realized in the future are shown. However, since the sales and gross profit effects of IV may be affected by the external environment and other factors, we have purposely excluded them from the measurement of FX. And based on this assumption, we are confident that we will be able to achieve about 2/3 of the JPY 55 billion target at this point, and the remaining shown in the dark orange, we are also on track to achieve this remaining SG&A expenses in sales and gross profit effects. And we will continue to make strong efforts to reform the profit structure through the conversion of #1 to tenant entity further upside to the sales and gross profit effects in #4. That concludes my explanation. Thank you very much. 
Ryuichi Isaka: I would like to talk about the our policy for maximizing the group's corporate and shareholder value over the medium to long term. This slide shows the strategic initiatives in our medium-term management plan and the progress. We are pleased to announce that we have completed the acquisition of 7-Eleven Australia on April 1, 2024. We will continue to steadily and swiftly implement our strategic initiatives to become a world-class retail group centered on food. 
 This slide, as announced in the update of the medium-term management plan and results of the group strategy reassessment released on March 9 last year, we have redefined the group's vision for the 2030 -- group's vision for 2030 and have set a direction to focus on food, which is the starting point of the group's competitiveness. 
 And this shows the concept picture of how we are going to grow, for example, in Seven-Eleven Japan, compared to our domestic competitors, our APS is 30% higher. SST business because we have the SST Group within our group, we have synergy effect for our food business. This is very big. On the other hand, in overseas business, as Mr. DePinto mentioned earlier, in North America, the value chain network that has been nurtured in Japan will be transplanted. And we are starting to see results. So we will deploy these two areas other than Japan and North America. This slide shows the evidence for that. 
 On the horizontal axis, you can see the average number of customers per day per store and vertical access is sales composition of fresh food. And the size of the bubble shows the number of existing stores in the countries we operate in. This shows that the countries and regions with higher fresh food composition has higher number of customers per day per store. There is a positive correlation. So leveraging and appealing the strength of fresh food -- the strength of our food is the key to realizing the CVS business growth globally.
 Now the left bar graph, this is the group sales and the line graph shows EBITDA trend. Since 2016, when I became the President, we have expanded our sales and profit globally through M&As in North America, including the acquisition of Sunoco and Speedway. The pie chart on the right shows FY '23, group total sales and EBITDA growth by segment. In 2023, group total sales and EBITDA grew by 70% and 80%, respectively, vis-a-vis 2016 and overseas CVS accounts for the majority in both sales and EBITDA. We have truly evolved into a global company. 
 This slide shows the world's top retailers ranking by sales. As a result of implementing our strategy, we are now #7 in the world and have evolved into world's top-class retailer group. This slide shows, since we announced our medium-term management plan in July 2021, we have departed from aiming to become all around retailer and have accelerated our focus on Japan and overseas CVS and revisited our business portfolio and have taken action for optimal management. And in that process, we established the Strategy Committee, which is composed only of independent outside directors to maximize medium to long-term corporate value and shareholder value, conducted various strategic measures rapidly and had our important strategy initiatives and optimal group structures evaluated and monitored in the Strategy Committee. This time, this strategy committee submitted its first recommendation to our Board. So following a serious expeditious discussion in the Board, we developed an action plan to maximize our corporate and shareholder value. We announced this action plan with the recommendation from Strategy Committee and separate release material today. 
 This slide shows the concrete action plan decided after deliberation in the board based on the recommendation from the Strategy Committee. The action plan that was decided this time is 5 points in; a, the formulation of concrete action plans to accelerate growth; b, changes to the group structure that will enhance our long-term growth and corporate value. This will be explained in more detail next slide; and c, communication with investors clearly and transparently. 
 So we have put these points into three domains. Please confirm the press release, supplementary material today for the recommendations from the Strategy Committee. We have begun developing a clear timeline to implement this action plan. In the process of the implementation, when there are items and information we should disclose along the way, we will inform them to you. 
 This is my last page. Long-term growth and -- so this is the direction of the group structure to enhance long-term growth and corporate value. First, SSD business. Based on the underlying premise that we continue holding part of SSD business stake and maintain our collaboration in the food development between CVS and SSD business, as one promising option for sustainable growth of SSD. Beyond the fundamental transformation, we started considering SSD business IPO at the shortest practical timeline. 
 Once we shift to the structure to enhance the growth strategy, based on our proprietary financial discipline, our CVS structure will focus on the growth of CVS even more. To realize the integrated operation of Japan and North America and Global CVS, we will work to integrate the CVS leadership and management structure going forward. 
 I ask you for your continuous support. Thank you very much. That concludes my presentation. Thank you for your attention.
 [Portions of this transcript that are marked [Interpreted] were spoken by an interpreter present on the live call.]